Operator: Good morning ladies and gentlemen. My name is Sylvie, and I will be your operator for Crescent Point Energy's Third Quarter 2021 Conference Call. This conference call is being recorded today and will be webcast alongside with a slide deck, which can be found on Crescent Point's website homepage. The webcast may not be recorded or rebroadcast without the expressed consent of Crescent Point Energy. All amounts discussed today are in Canadian dollars with the exception of West Texas Intermediate, or WTI, pricing which is quoted in U.S. dollars. The complete financial statements and Management's Discussion & Analysis for the period ending September 30, 2021, were announced this morning and are available on the Crescent Point SEDAR and EDGAR websites. All lines have been placed on mute to prevent any background noise. After the speakers' remarks, there will be a question-and-answer session for members of the investments community. [Operator Instructions] During the call, management may make projections or other forward-looking statements, regarding future events or future financial performance. Actual performance, events or results may differ materially. Additional information or factors that could affect Crescent Point's operations or financial results are included in Crescent Point's most recent annual information form, which may be accessed through the Crescent Point SEDAR or EDGAR websites or by contacting Crescent Point Energy. Management also calls your attention to the forward-looking information and non-GAAP measures sections of the press release issued earlier today. I will now turn the call over to Mr. Craig Bryksa, President and Chief Executive Officer at Crescent Point. Please go ahead, sir.
Craig Bryksa: Thank you, operator. I'd like to welcome everyone to our Q3 2021 conference call. With me today are Ken Lamont, our Chief Financial Officer; and Ryan Gritzfeldt, our Chief Operating Officer. As the operator highlighted this conference call is being webcast along with the slide deck, which can be found on our website. Since our last quarter update, we've made some significant strides in a number of fronts. Most notably we have increased our quarterly dividend to return additional capital to shareholders. We have achieved initial success in our Kaybob development program with strong execution on our DNC activities, including delivering cost savings of approximately 20% on well completions to date and we've continued to reduce our net debt putting us on track to attain a leverage ratio of one times adjusted funds flow in early 2022. The rate of change and the improvements we have made to our business during the current commodity price environment are significant and shouldn't be lost on anyone. For those that have watched our industry evolve over the past several years, you can appreciate how much stronger companies are now versus past cycles. Balance sheets are healthy and continue to strengthen daily providing protection for shareholders during periods of commodity price volatility. Management teams are increasingly focused on shareholder friendly capital allocation programs, which is also a positive for the supply demand balance. And the overarching ESG performance of our sector has improved tremendously, especially within the Canadian industry. At Crescent Point specifically, we have been able to take advantage of the current pricing environment through our industry leading netback, our strong market access position and a product mix comprised of both light oil and condensate. When we look forward to the upcoming year, we are excited about the position we are in and the opportunities we see to create additional shareholder value. For example, in a $75 WTI price environment, we expect to generate $925 million of excess cash flow in 2022, which is after the dividend we recently increased. We are in a solid position to further strengthen our balance sheet, return additional capital to shareholders and evaluate projects that can enhance sustainability to create additional returns for our shareholders on a debt adjusted per share basis. I'll now turn it over to Ken to discuss our financial results. Ken?
Ken Lamont: Thanks, Craig. For the quarter ended September 30, 2021, adjusted funds flow totaled $394 million or $0.67 per share fully diluted. This is supported by a strong operating netback of over $44 per BOE. The third quarter development capital expenditures, which includes drilling and development facilities in seismic costs totaled $187 million. I am pleased to report that we generated over $180 million of excess cash flow in the quarter, which we used further to strengthen our balance sheet. I will also note that since closing our Kaybob Duvernay acquisition in the second quarter of 2021, we have already paid off more than 80% of the cash portion of that total purchase price. Our net debt as of September 30, 2021, totaled $2.1 billion or approximately 1.4 times our last quarter adjusted funds flow. We are currently on track to exit the year with net debt at or below $2 billion and expect further to reduce our leverage to one times adjusted funds flow in early 2022. As Craig mentioned earlier, we expect to generate upwards of $925 million of excess cash flow in 2022 based on our preliminary guidance at $75 WTI. To lock in some of this excess cash flow, we continue to layer in commodity and differential protection through our disciplined hedging program. Our hedging philosophy in this rising market is a portfolio approach whereby we layer in a mix of swaps, callers and three-way instruments in order to provide a combination of true floor protection and hedges with some upside participation. Currently, we have approximately 45% of our oil and liquids production net of royalty interest hedged for 2022. For the three month period ended September 30, 2021, net income totaled $78 million and included approximately $44 million in non-recurring charges, primarily related to a re-evaluation of the company's tax pools. This re-evaluation of tax pools primarily related to the estimated future usability of these pools in particular those that were a part of past acquisitions. Our total tax pools at the end of the quarter were significant at over $10 billion and continue to enhance our ultimate excess cash flow generation in a rising price environment. Late in the quarter, we announced the fourth quarter dividend increase to $0.03 per share payable on January 4, 2022 to shareholders on record at December 15, 2021. This equates to an annualized dividend of $0.12 per share, an increase of $0.11 per share from the prior level. As you recall, our capital allocation framework, initially prioritizes discretionary excess cash flow towards the balance sheet and the base dividend. Over the past year, we have significantly improved our business fundamentals. Our excess cash flow profile and our balance sheet, which led to our decision to start returning additional capital to shareholders. We believe that the current quarterly dividend of $0.03 per share is sustainable provides flexibility within our capital allocation framework and has the ability to grow over time. As it equates to a conservative payout of approximately 5% of funds flow at $50 WTI. In addition to a sustainable growing based dividend model, we will also evaluate additional forms of returning capital to shareholders overtime, as we have in the past, all in context of our capital allocation framework and leverage targets. I’ll now turn things over to Ryan to provide some operational highlights. Ryan?
Ryan Gritzfeldt: Thanks, Ken. Third quarter production averaged 132,186 boe/d, comprised of over 80% oil and liquids in line with our previously released guidance. Compared to our prior quarter, our overall production reflects our recent disposition of non-core assets, our conservative 2021 program with expenditures below sustaining capital requirements and the timing effect of several high-impact multi-well pads that were brought on stream during the first half of the year. In the Kaybob Duvernay, we initiated our first multi-well pad drilling program during third quarter with strong operational execution to date. We expect to complete these wells during the fourth quarter. In addition to focusing on generating strong full cycle returns and excess cash flow, our near near-term strategy in the Kaybob Duvernay is to improve upon already strong economics through a combination of cost efficiencies and productivity enhancements primarily through our completion design. I’m proud to report that we have achieved early success on our cost reduction initiatives in this plate. During third quarter, we entered into a farm-in agreement with a Kaybob Duvernay operator to complete certain wells in exchange for a working interest in these wells and additional land, both in close proximity to our existing assets. This arrangement provides us with the opportunity to further delineate our land position and add locations to our Kaybob Duvernay inventory. As part of this agreement, we successfully completed a five-well pad in late third quarter, achieving completion costs approximately 20% below those. We had expected when we first entered the Kaybob Duvernay play earlier this year. I’d also note that we achieved these costs reductions despite shifting to a new higher fluid intensity frac design That is more representative of our go-forward plan. Production from these wells is expected to be on stream during fourth quarter of this year. In our other operating areas in Saskatchewan and North Dakota, we continue to successfully execute our development plan of low-risk high return wells. In Viewfield and Shaunavon specifically we’ve had success this past year in expanding the economic boundaries of each play through our step-out drilling programs. We also received approval from the government of Saskatchewan to fully unitize an additional two units in Viewfield bringing our total now to six units. This provides us the opportunity to further expand our waterflood program over the coming years. As part of our decline mitigation initiatives in 2021, we have now converted approximately 115 well – producing wells to water injection wells, and remain on track to convert over 135 wells this year. Finally, I’d like to once again, thank our operations teams and in particular, our field staff who continue to demonstrate our commitment to safe operations and operational excellence throughout the quarter. I’ll now pass it back to Craig for some final remarks.
Craig Bryksa: Thanks, Ryan. I’m very proud of the results and success we’ve achieved over the past year. And I’m excited by the initial progress we are seeing in our new Kaybob Duvernay play. As we near the end of the year, we are narrowing our 2021 average production guidance to 132,000 boe/d to 134,000 boe/d, which is at the higher end of our previous range. And our capital expenditures will be approximately $625 million. Rather than increasing our capital budget to account for the costs associated with the additional completions on our new partner wells in the Kaybob Duvernay, our overall expenditures have remained within our prior range as we made the decision to reduce spending in other operating areas. This demonstrates the type of capital discipline you can expect from this team. We recently established our preliminary 2022 guidance, which we anticipate formalizing prior to the end of the year. Under our 2022 capital plan, we expect to generate annual average production of 131,000 boe/d to 135,000 boe/d within a conservative budget of $825 million to $900 million in development capital expenditures. This budget along with our recently increased dividend is fully funded at a low oil price of approximately $40 WTI and generates approximately $1 billion of excess cash flow at an $80 WTI price environment. As you can see, our business stands today in dramatically different position than just 18 months ago. The current commodity price environment provides us with significant flexibility and the opportunity to enhance our value creation as we continue to strengthen our balance sheet. We’ve laid out our strategy guided by our capital allocation framework, and we’ll continue to execute our plan to deliver value to our stakeholders. I’d like to thank everyone for their continued support and our employees for their hard work and execution of our business strategy. I’ll now open the call for questions from the investment community. Operator please open the call.
Operator: Thank you, sir. [Operator Instructions] And your first question will be from Patrick O'Rourke at ATB Capital Markets. Please go ahead.
Patrick O'Rourke: Hey, good morning guys. Thank you for taking my question. Just wanting to ask a few things with regards to cost structure and inflation that you’re seeing out there in particular that Duvernay the nature of those well costs are probably, a little bit different than what you’re historically experienced with here from what we’re hearing the high-spec market for rigs is a little bit tighter. And I’m just wondering, are you still pretty comfortable with those costs? Maybe I’ll add on obviously, it appears to us in the public data that the JV partner operated these wells that were recently completed and a $1 million or I think 20% ahead of your budget, which is pretty impressive stuff. Are you able to apply any of those learnings or, anything on the technical frontier, upcoming completions?
Craig Bryksa: So thanks for the question, Patrick. It's good to hear from you. So it's Craig here. When we put out our 2022 guidance, we did build in inflation into that. So we feel very good at where we're at in that 822 million to 900 million of capital spent like you say, that was built in and we are seeing very good initial progress on both the drilling and completions in the Kaybob DuVernay. So like we mentioned today, a $1 million under on the fracs there on, that 20% reduction that we're seeing. So making good progress on that, but maybe I'll pass it to Ryan. He's probably the best person to talk to you about our cost structure and what we see on this over the next little while.
Ryan Gritzfeldt: Yes. Hi Patrick. Yes. I mean, obviously, we're working through all that right now, as we finalize our 2022 budget but regarding cost pressures, in a $70, $75 world, strip pricing for next year. If you look at our total overall capital program. Yes, we're probably, expecting five ish percent increases, some categories a little bit higher than others, but overall 5%. But obviously with some of the unit costs wins we've had here in Kaybob specifically on the completions, like we spoke to, obviously those will offset some of our costs escalation. So, overall, still well within our preliminary capital guidance of $825 million to $900 million next year.
Patrick O'Rourke: And then I guess in terms of those JV wells on the technical side, in terms of the completion how similar to those look to what you have done or looked at with Shell and have been planning on your own first pass here, is there anything, nuance that the operator did differently that you can take away from that? Or is it a very similar sort of completion design?
Ryan Gritzfeldt: Yes, so the completion design that we use on these farm-in wells, are very similar to what, what our go forward plan is on our Shell end. You know, obviously when we got into the play, looking at the previous operators completion costs, we had our eyes on that is that's where we could make significant improvements. And so yes, it was real satisfying to see our team execute on that and reduce those completion costs by a million dollars. Even with, what we think will be a better frac designed to increase our EURs in the area with a slightly higher fluid loading pumping those fracs. And then so, one of the big things, obviously, our supply chain management efforts help get that million dollar savings per well and also a lot efficiencies on site. We are pumping hours per day, is right up there compared to, previous the, what we saw from the previous operator. So combining all that, we've seen that 20% reduction on our completions so far and expect that go forward.
Patrick O'Rourke: Okay. Thank you very much.
Operator: Thank you. [Operator Instructions] And your next question will be from Jeremy Mccrea at Raymond James. Please go ahead, Jeremy.
Jeremy Mccrea: Yes, hi guys. I want to, it's been, or see if you could expand a little bit more on the JV with the DuVernay here. I know there was very little details due to the confidentiality, and I think the first question is why the confidentiality, maybe how material this really could be in terms of the farm-in terms of maybe amount of acreage, the commitment how much does this draw down from other places, any other little details, or maybe when we would be able to find out more details of when some of this will come, information will come forth coming.
Craig Bryksa: Yes. So thanks for the question, Jeremy. It is part of the terms of the agreement is just the confidentiality structure around that. What I can tell you is that it's, it's three pads that we're looking at completing so-called roughly 16 wells. We're done that first pad, like Ryan mentioned, and very excited on the results that we've been seeing, not only on the cost savings, but how the initial flow backs have looked on those wells. So it's exciting for us, especially as we start to move it forward. So we'll continue to execute on that. We're on our second pad here now. Things are going well on that one. And then from that, we'll move to our pad that we're drilling right now. And, and we'll complete that fully Crescent Point pad here in and call at November, but on that front things look good. I can't really discuss any of the other details around the farm-in and the partners just due to the confidentiality around that, but do know, like I say, three pads executing well against that things are going well. We're excited to see that the initial cost savings and how we can continue to drive that down. And then when you look at how we're doing on our first pad drilling things on that front look very strong as well, as far as the cost structure. So starting to become very exciting for us here as we continue to move forward on that.
Jeremy Mccrea: Okay and maybe just a follow-up on that. Is this a strategy that you guys would like to employ more often going forward more farm-ins? Or what was the reason for maybe not doing just an outright acquisition of some of the signs?
Craig Bryksa: Yes, I think it's like any other opportunity that's presented to you, Jeremy, you evaluated in, in the context of, for us in the context of our balance sheet and sustainability, and does it improve us in one or the other this deal, we felt really good about it for a few reasons. So for us at this point, it made sense. So, all deals are different. We're very disciplined as we look through things and if they do improve us, then we would look to act on that in this case, it happened to be a farm-in that allowed us to really get in and use our operating team and our operating structure and get after these fracs a little bit earlier and now apply the learning’s that we've had from Utah, North Dakota, into these fracs. And now take the learning’s from this and apply this to our a 100% Crescent Point wells that we're drilling right now. So that's where you start to see the momentum moving. And you can ideally, you can feel some of the excitement in my voice as we start to get these results out to the market. So, look for further details to come. As we continue to update the market on our 2022 budget, when we finalize those things. And then as we start to look forward into, into the New Year.
Jeremy Mccrea: Thanks guys.
Craig Bryksa: Thanks.
Operator: Thank you. At this time, we have no further questions, Mr. Bryksa, please proceed.
Craig Bryksa: Thank you for joining our call today. If you have any questions that were not answered, please call our Investor relations team at your convenience. Thanks everyone.
Operator: Thank you, sir. Ladies and gentlemen, this does indeed conclude your conference call for today. Once again, thank you for attending. At this time, we do ask that you please disconnect your lines.